Operator: Good morning, ladies and gentlemen, and welcome to Comcast’s fourth quarter and full-year 2012 earnings conference call. At this time, all participants are in a listen-only mode. Please note that this conference call is being recorded. I will now turn the call over to Senior Vice President Investor Relations, Ms. Marlene Dooner. Please go ahead, Ms. Dooner.
Marlene Dooner: Thank you, operator, and welcome, everyone. Joining me on this morning’s call are Brian Roberts, Michael Angelakis, Steve Burke and Neil Smit. We have a full agenda this morning. Brian and Michael will make formal remarks on both our earnings results and our announced early acquisition of GE’s 49% common equity interest in NBCUniversal. Following their remarks, Steve and Neil will also be available for Q&A. As you review our materials, please refer to our trending schedules, which are available on our investor relations website for performer results covering the past 12 quarters as well as detailed information for our business segments and other consolidated metrics. As always, let me refer you to Slide number 2 which contains our Safe Harbor disclaimer and remind you that this conference call may include forward-looking statements subject to certain risks and uncertainties. In addition, in this call we will refer to certain non-GAAP financial measures. Please refer to our 8-K for the reconciliation of non-GAAP financial measures to GAAP. With that, let me turn the call to Brian Roberts for his comments. Brian?
Brian Roberts: Thanks, Marlene, and good morning, everyone. This is a really special moment for our company with a number of exciting developments to tell you about today. We are reporting strong results for the fourth quarter and the full-year 2012, accelerating the acquisition of GE’s equity interest in NBC’s Universal and demonstrating confidence and optimism in the future of all our businesses by increasing our dividend 20%, announcing our plan to repurchase $2 billion of our stock during 2013. Let me begin with our strong financial results for both the fourth quarter and the full year which highlight our momentum and how we’re benefitting from scale and from our focus on operational excellence. These results demonstrate that our investments for growth and strategic differentiation, particularly in programming, technology and in new products, are helping us lead in innovation and strengthening our position in the market. Michael will discuss the results in more detail but I want to provide a few highlights. Let me start with cable, which capped accelerating performance throughout the year with a strong fourth quarter. Every part of the cable business showed strength with revenue increases in all our residential products, business services and in advertising. High speed internet led the way in both revenue and subscriber growth. We added 1.2 million HIS customers in 2012, a 6% increase for the seventh year in a row of more than 1 million customer additions. In video, we extended the trend of improving subscriber and revenue results. The fourth quarter was the ninth quarter in a row of year-over-year improvement in video subscribers and we expect that excluding the impact of Hurricane Sandy we added subscribers in the fourth quarter. Just as important, video revenue growth of 2.9% in the fourth quarter was the highest in four years. Our triple play offering is driving a rebound in voice with strong customer growth in the fourth quarter and we reached a milestone of 10 million voice customers early this new year. Last but certainly not least, business services was again the second largest contributor to cable’s growth as it continues to expand its services to small businesses and its presence in the mid-size market. So it’s been a fantastic 2012 for cable and a great fourth quarter. The XFINITY brand is taking hold and we’re making steady headway in customer service and the cable team is delivering consistent and first rate operating performance. Neil Smit is doing a fabulous job and so is his team. Similarly, at NBCUniversal, Steve Burke and the NBCUniversal folks have had a very successful year. NBCUniversal’s 2012 results highlight in particular the improving performance of our broadcast businesses. NBC”s primetime performance this fall has been improving. While we recognize it’s early in the turnaround, this is driving a big swing in momentum which should continue to help the network. Our cable networks continue to drive NBC Universal’s profitability and there were some real highlights there too. USA remained the highest-rated cable entertainment network for the seventh year in a row, Bravo had its seventh consecutive best year ever, and we also completed rebrands at E! and Style, and in terms of rating, Golf, Mundos, and MSNBC were three of the five fastest-growing channels on television all of last year. NBC Universal’s 2012 results also included stronger box office performance in film and outstanding results at the theme parks. So let me talk about now our future, since we’re excited about our businesses and are going to continue to invest to reinforce our differentiation and to drive growth. High-speed internet and business services continue to be the drivers for cable, and in 2013, we are investing to increase the speed once again of our high-speed internet services and to expand the deployment of wireless gateways that deliver the fastest in-home service and power the growing number of wirelessly connected devices in our customers’ homes.We are also extending our network to business-rich areas to continue to gain share in small businesses and medium-sized businesses and to expand our Metro E products. Our Xfinity Home service has exciting growth potential too. It is now available across the entire footprint, and while it’s still early and the numbers are relatively small, Xfinity Home is attracting new customers and working well as the fourth product in some of the bundles. 76% of our Xfinity home customers are Quad Play, 22% are new to Comcast, and of those, 73% come in buying all four products. In 2012, we rolled out our first X1 service, our cloud-based, interactive guide and user interface, in six markets. This year, we will expand the rollout of X1 to the majority of our footprint, and you’ll also begin to see X1 more as a platform as we enable cloud-delivered applications to our customers.At NBC Universal, the Universal theme parks have been a real standout, and we see great potential in the years ahead. And so we’re investing in new attractions to continue to transform our parks into more must-visit destinations. The new “Transformers” ride was an enormous success at Universal Studios Hollywood this past year, and we’ll be opening in Orlando in 2013. And we’re expanding the hugely successful “Harry Potter” attraction, including working on bringing it to Hollywood.Now let’s discuss the announcements we made last night regarding our acquisition of GE’s existing 49% equity interest in NBC Universal. Two years in, the strategic rationale for bringing together our content and distribution businesses and the opportunities for growth and value-creation available at NBC Universal are even stronger and better than we first anticipated. We’ve been hard at work inside these businesses for the last two years, and now have the knowledge and confidence to accelerate the buyout of GE.In effect, we’re buying stock in our own company, and investing in businesses that we know well. Our programming investments are beginning to pay off, driving strong early results at NBC broadcast network and a turnaround in ratings and financial performance at our local stations. We also successfully integrated the Comcast cable channels and regional sports networks and we’re investing across our cable networks to strengthen the brands and to reinforce the value. As a result, we are beginning to see improved affiliate fees for the cable channels and the benefits of retransmission consent fees for NBC and Telemundo. We have achieved strong growth across the theme parks, and we’re also reinvigorating our franchises in the film business. Finally, we’ve demonstrated real value when we bring together our content and distribution businesses to support important initiatives for the whole company. We call that project “Symphony,” and whether you look at the success of “The Lorax” or “The Voice,” or in particular last year’s Olympics, many of these successes were amplified because of our Symphony approach.So we’re really pleased with the transition, have a great management team in place, and strong momentum, and we’re bullish about NBC Universal’s future. This is also a good time to complete the acquisition since we are able to fund it through a combination of cash from operations, proceeds from the sale of non-strategic assets plus attractively priced public debt and seller financing from General Electric. We now have a simplified structure and balance sheet and our goal is to continue to strengthen this balance sheet and achieve even stronger credit ratings over time while we continue to provide a sustainable return of capital to shareholders. I believe we are uniquely positioned with great businesses and real opportunities for growth and aim to continue to strengthen our company. As we start 2013, we have real momentum and we’re maintaining our focus on execution and disciplined investment to build in each and every one of these exciting businesses. Let me now pass it to Michael to cover the results and the transaction in greater detail.
Michael Angelakis: Good morning and thank you, Brian. There is quite a bit to review today, including the NBCUniversal transaction and our 2013 financial strategy but I think most important is our strong operational performance and positive momentum in the fourth quarter and for all of 2012. As Brian mentioned, we are very pleased with our results on Slide 4, which reflect sustainable and profitable growth and the fundamental strength of our businesses. For the full year, consolidated revenue increased 12% to $62.6 billion and operating cash flow increased 9% to $20 billion, reflecting strong organic growth in both our cable communications and NBCUniversal businesses. Free cash flow for the full year, which excludes the impact of the economic stimulus, increased 13% to $7.9 billion primarily reflecting growth in operating cash flow and improvements in working capital partially offset by higher cash taxes and capital expenditures. Free cash flow per share increased 16% to $2.92 per share in 2012. For the year, our cable free cash flow generated $6.2 billion or 78% of the total while NBCUniversal contributed $1.7 billion or 22% of consolidated free cash flow. Earnings per share grew 52% to $2.28 per share for the full year from $1.50 per share in 2011. Excluding gains from the SpectrumCo and A&E transactions, an income tax benefit resulting from a state tax law change in 2012, an NBCUniversal transaction and related costs and other non-recurring items in 2011, our adjusted earnings per share increased 22% to $1.93 per share. Now, let’s review the Pro Forma results of our cable communications and NBCUniversal businesses on Slide 5. As you know, we believe the Pro Forma presentation provides a more meaningful comparison of the operating performances and businesses. The Pro Forma results are only necessary for the full year and are presented as if NBCUniversal and the Universal Orlando transactions were both effective on January 1, 2010. For the fourth quarter of 2012, consolidated revenue increased 6% to $15.9 billion and consolidated operating cash flow increased 7% to $5.3 billion. Fourth quarter results reflect cable communication’s revenue increase of 7% to $10.1 billion driven by growth in hi-speed internet, business services, video and advertising. Cable operating cash flow also increased 7% to $4.2 billion. At NBCUniversal, fourth quarter revenue increased 5% to $6 billion and operating cash flow increased 11% to $1.2 billion driven by strong results at our broadcast business. For the full year of 2012, consolidated Pro Forma revenue increased 8.5% to $62.6 billion reflecting the inclusion of $1.2 billion of revenue generated by the Olympics and $259 million of revenue from the Super Bowl. Excluding the Super Bowl and the Olympics, full-year consolidated Pro Forma revenue increased 6%. Consolidated Pro Forma operating cash flow increased 7% to $20 billion including $120 million of operating cash flow from the Olympics. Excluding the Olympics, the full-year consolidated operating cash flow increased 6%. Cable communications revenue increased 6% to $39.6 billion for the full year and represented 63% of our consolidated revenue while cable operating cash flow grew 6% to $16.3 billion and represented 81% of consolidated operating cash flow. For the full year, NBCUniversal revenue increased 13% to $23.8 billion and operating cash flow increased 9% to $4.1 billion. Again, excluding the results of the Super Bowl and the Olympics, NBCUniversal revenue and operating cash flow increased 6% respectively. Please refer to Slide 6 and we will review cable communication’s results in a bit more detail. For 2012, cable communications reported another year of strong financial results in customer growth with substantial year-over-year improvements reflecting growth in our residential businesses, continued strength in our business services and increased advertising revenue driven by political. Contributing to cable’s growth are rate adjustments, new customer additions and an increasing number of customers taking multiple products. At the end of the fourth quarter, 75% of our video customers took at least two products and 40% took all three services compared to 37% in the fourth quarter of last year. As a result, total revenue per video customer increased 9% to $154 per month in the fourth quarter. We continued to experience real strength in our customer metrics. In the fourth quarter we added 503,000 total video, hi-speed internet and voice customers, an 8% increase in net customer additions over last year’s fourth quarter. For the year, we added 1.5 million total customers, a 5% increase in net customer additions compared to 2011. In the fourth quarter, even with the negative impact of Candy, we reduced video losses by 60% reporting a loss of only 7000 video customers compared to the 17,000 video customer losses in last year’s fourth quarter. And for the full year, we reduced video losses by more than 25% over 2011 as we continue to execute with improved products and customer support. Video revenue increased 3% for the fourth quarter and 2.5% for the full year reflecting rate adjustments and a higher number of customers taking advanced services. In addition to our improved video results, our hi-speed internet business performed well as we added 341,000 new customers in the fourth quarter and 1.2 million customers during the year. Hi-speed internet revenue was, again, the largest contributor to cable revenue growth as revenue increased 9% for both the fourth quarter and for the full year, reflecting rate adjustments, continued growth in our customer base and 29% of our customers now receiving higher tier services. With regard to voice, revenue increased 1% in the fourth quarter and 1.5% for the full year reflecting continued growth in our customer base. We added 168,000 voice customers, a 15% increase in the fourth quarter and 613,000 customers in the full year. Our voice penetration is now with 19% of homes past and our customer results improved throughout 2012 as we increased the number of triple play customers. The momentum in business services continues with revenue increased 32% in the fourth quarter and 34% for the full year for total revenue of $2.4 billion 2012. The small end of the market or businesses with less than 20 employees continues to be the primary driver of growth and accounted for 85% of business services revenue in 2012. The mid-size business is established and growing rapidly and now represents almost 15% of this group’s revenue. As I mentioned, cable advertising also performed well in the fourth quarter with revenue increasing 19% and full-year revenue increasing 14%, including political revenue of $131 million in the fourth quarter and $239 million in the full year. Please move to Slide 7. In the fourth quarter, cable communication’s operating cash flow increased 7% to $4.2 billion and full-year operating cash flow increased 6% to $16.3 billion resulting in stable margins for the quarter and the year. During 2012, total expenses in cable increased 6%, driven primarily by three pressures, two of which we control and have positive ROIs. First, we are absorbing expenses as we offer and expand new products like XFINITY Home and Signature Support. Secondly, we have been increasing our sales and marketing spend in media, direct sales and new marketing channels to more effectively target customers and enhance our competitive positioning in both our residential and commercial segments. These increased marketing efforts have had a positive impact on our core customer metrics. Finally, programming expenses increased 7% in 2012, reflecting higher rates and an increase in the amount of content we provide to consumers across multiple platforms.As we look to 2013, we expect programming expenses to increase at low double digit rates, driven by several factors including the continued expansion of rights to multiple platforms, additional channel launches, continuing increase in sports cost, meaningful increases for retransmission consent fees, and step-ups for recently completed long term agreements.We have appropriately planned for these programming expense increases, and are confident we can effectively offset these costs through modest rate adjustments, further efficiencies, and improving product mix, as well as increasing the number of customers upgrading to higher tiers of service. As a result, we expect to maintain relatively stable margins. In addition, we remain very focused and believe we can continue to gain further efficiencies in our customer service and technical operations. In 2012, we reduced our activity levels by more than 4.5 million truck rolls and by 16 million agent calls handled in our call centers, even as we added 1.5 million total new customers. Our service is improving, and customers continue to elect self-installations, which accounted for 36% of our total installations at year end 2012, compared to 21% at year end 2011. In addition, we now have 27% of our customers managing their accounts online. All these improvements reflect the innovative efforts we are making to increase customer satisfaction by giving our customers more choice and control, which results in lower activity levels for our cable operations. Overall, our Xfinity brand is building momentum, and cable’s performance in 2012 clearly demonstrates that we are executing well and competing effectively with our improved products and services. Please refer to slide 8 so that we can review our pro forma results for the segments of NBC Universal.For the fourth quarter, NBC Universal’s revenue increased 5% and operating cash flow increased 11% as it was a strong fourth quarter that ended a solid performance in 2012. For the full year 2012, NBC Universal revenue increased 13%, and operating cash flow increased 9%. These strong results was primarily driven by the success of the Super Bowl and the Olympics during the year. Excluding any impact from these two events, NBC Universal revenue and operating cash flow each increased 6%, which was driven by strong results at broadcast television and theme parks, as well as solid results at filmed entertainment and cable networks. As we review the pro forma results of the individual segments in 2012, cable networks generated revenue of $8.8 billion, an increase of 3%, driven by a 5% increase in distribution revenue and a 2% increase in advertising revenue, as weaker ratings were more than offset by higher pricing.In the fourth quarter, distribution revenue increased 2.5%, but was negatively impacted by the NHL lockout. Cable networks operating cash flow declined 1% to $3.3 billion, primarily reflecting higher programming and production costs, due to our continued investment in increased original programming. In addition, we experienced higher sports programming costs, mostly driven by more NBA games in 2012 compared to 2011, due to the lockout. With regard to our broadcast segment, full year revenue increased 27% to $8.2 billion, reflecting the inclusion of $1.2 billion of revenue generated by the Olympics and $259 million of revenue from the Super Bowl. Excluding the impact of both the Olympics and Super Bowl, broadcast revenue increased 5%, reflecting the strong primetime ratings at the NBC broadcast network and over $100 million of political revenue at the owned local stations. This was partially offset by lower content licensing revenue from a library content agreement signed in 2011. Full year 2012 broadcast operating cash flow increased by $246 million to $369 million, and excluding the Olympics, operating cash flow more than doubled, increasing by $126 million to $249 million, reflecting higher revenue and a slight increase in programming costs.Moving to filmed entertainment, 2012 revenue increased 12% to $5.2 billion driven by higher theatrical revenue from the strong box office performance of Ted, The Lorax and Les Miserable, as well as higher home entertainment and content licensing revenue. Film operating cash flow increased $55 million to $79 million reflecting the performance of the film slate partially offset by an increase in the amortization of film costs. Switching to our theme park segment, 2012 was a terrific year. Full-year revenue increased 5% to $2.1 billion and operating cash flow increased 10% to $953 million. These solid results were driven by increased attendance and per capita spending at our parks which are continuing to benefit from the success of the Wizarding World of Harry Potter attraction in Orlando and the new Transformers attraction in Hollywood. Let’s move on to Slide 9 to review our consolidated capital expenditures. We strongly believe that operational excellence, strategic differentiation and attractive capital investment drive profitable growth and shareholder value. Therefore, we have a disciplined and balanced capital allocation strategy that is returns focused as we invest in our core businesses while maintaining a strong balance sheet and providing consistent and sustainable return of capital to shareholders. Our first priority is to generate strong returns by investing in our businesses. In both cable and NBCUniversal, we are continuing to reinvest to strengthen our competitive position and to support attractive organic growth opportunities. For 2012, consolidated capital expenditures increased almost 8% to $5.7 billion compared to $5.3 billion in 2011. At cable communications, full-year capital expenditures increased 2% to $4.9 billion equal to 12.4% of cable revenue versus 12.9% in 2011. The increase in capital expenditures reflects the continued expansion of business services and investment in network infrastructure to ensure our product leadership. Our capital investment plan is focused on strategic areas of growth that yield strong risk-adjusted returns. Our investments in our network and in CPE to support strategic initiatives like all digital and (DOXIS) 3.0 and in new businesses like business services have yielded strong returns, enhanced our competitive advantage and contributed to a strong financial performance. At NBCUniversal, we have a similar approach. NBCUniversal’s capital expenditures for 2012 increased $329 million to $763 million driven by increased investments in parks and facilities. The higher facilities investment reflects the consolidation of operations and improvements made in our New York area and LA properties. At parks, we have increased our investment in new attractions at both Orlando and Hollywood as we opened Despicable Me in Orlando and Transformers in Hollywood with great results. We will moderately increase our 2013 investment in attractive growth areas for cable and NBCUniversal. We plan to continue to increase hi-speed internet speeds, deploying new wireless gateways to deliver the fastest in-home WiFi, invest more aggressively in the midmarket with (MetroE), expand the rollout of X1 across our footprint and accelerate the expansion of XFINITY Home. As a result of these investments, our 2013 cable capital expenditures will increase by approximately 10% with capital intensity increasing slightly or equal to 2011 levels. We are excited about these initiatives to accelerate our product offerings, drive future growth and provide attractive returns. At NBCUniversal, our 2013 capital investment plan will increase by approximately 25% primarily driven by our theme parks investment in new attractions including Transformers and other attractions in Orlando and Harry Potter and Despicable Me in Hollywood. Investments in our theme parks over the last few years can actually reset the level of their performance generating strong returns and dramatically expanding the potential of our theme park business. Please refer to Slide 10. As we balance our capital allocation priorities, our acquisition of GE’s remaining 49% common equity interest in NBCUniversal also demonstrates our disciplined investment approach. We’re buying stock and investing in businesses that we own and where we believe we have significant and attractive opportunities to build shareholder value.
Marlene Donner:
Operator:
Jason Bazinet - Citi Investment Research:
Michael Angelakis: Is your second question, Jason, regarding to the tax benefits we’re receiving as part of the transaction on an NPB basis? I just want to make sure I clarify the question.
Jason Bazinet - Citi: Correct.
Michael Angelakis: So when we announced the transaction, the first part of the transaction back in December of ’09, we articulated that we thought the NPB benefit of the taxes was approximately $1.5 billion. We’ve been fortunate in terms of how we structured it and other benefits where now we estimated that the NPB of those tax benefits is approximately $2.2 billion, so they’ve gone up nicely over the last several years. We expect to receive those benefits over really the next 10 to 15 years, which is several hundred million dollars a year of benefits to Comcast, so we’re really pleased with how this has been structured. With regards to cash taxes, they do move around a little bit related to gains and other kinds of things. We don’t anticipate any meaningful changes and I think you’ll see that our effective tax rate on our P&L will probably hover around 38%, 39% as we go forward.
Operator: Your next question comes from the line of Jessica Reif Cohen – Bank of America Merrill Lynch.
Jessica Reif Cohen – Bank of America Merrill Lynch: I had a question for Neil and Steve if each of you could just talk about the big three drivers for your divisions for the year ahead.
Neil Smit: I think the big drivers for our business are, number one, executing the growth our business, our hi-speed business and business services. Those are our drivers of our profitability and revenue and I think we’re very focused on those. Number two is grow continuing to the improvement on our video business. We’ve seen, as you know, about nine quarters of improving results in video and I’d like to continue that trend. And number three is just executing well on some of the efficiencies we’re finding in the business, reducing truck rolls, improving the call center performance and just overall improvement on the execution side of the business.
Steve Burke: And Jessica, on the NBCUniversal side, I would say if I had to pick three the first would be what I call the monetization gap or the entitlement gap. I think our affiliate fees are not what they should be both in terms of the cable channels and retransmission consent. And on the advertising side, our CPMs are lower than some of the other people in the business who have lower ratings than we do. Secondly, I would say that the broadcast business continues to seem like a big opportunity to us, whether it’s the NBC network, our local stations or (Telemundo). I think all three of those represent a big opportunity. And finally, theme parks, which is a business that we have come to really appreciate over time. We’re doing quite well in the theme park business and I think that growth will continue.
Operator: Your next question comes from the line of Jason Armstrong – Goldman Sachs.
Jason Armstrong – Goldman Sachs: First, maybe a question on content cost growth that you talked about in double digit range. Where are we in the process of content step ups and authentication rights? I guess what’s included here is presumably box and I know ESPN at the beginning of the year. Does this represent the later stages of the process and content cost? Can you start to moderate – or growth and content cost and start to moderate after this year or are we still in middle stages of this process? And then just related to that cable margin, you talked about stable cable margins in 2013 despite the content cost growth. I guess in order for that to be the case, it looks like you probably have to accelerate revenue growth in cable. Is that the right assumption?
Michael Angelakis: So on the cable margin, we’ve done a great job over the few years keeping a relatively stable margin. When you look at really the revenues of our cable business right now, roughly half of the revenues are the video side and the other half are other services, which from a product pick standpoint have better margins and are higher growth. So a combination of increasing product mix and adjustments that will have on the pricing on our video side, some efficiencies that we’re confident we’ll be able to access, which actually help the customers and help our efficiencies, we think as we look to ’13 we’ll be able to keep pretty stable margins. On the content side, in terms of where we are – and the Fox deal was announced yesterday – I’ll let Neil answer that.
Neil Smit:
Brian Roberts: I think for content, we have always thought, for many years, that it’s a great business on a standalone basis. It’s created a lot of wealth over a long period of time and we think we’ll find ways to do so in the future. Having both in one company makes us a really special company and I think now we need to execute and continue to find ways to have the two work together and apart and it’s a very special day for the company and I think employees and that place where people want to come to work will be the last – my next goal would be to make it – continue to make it absolute home for where a young person coming out of school or somebody with their career says this is a company at the cross hairs of media and technology and all parts of this company make it where I want to spend my career.
Operator: I think for content, we have always thought, for many years, that it’s a great business on a standalone basis. It’s created a lot of wealth over a long period of time and we think we’ll find ways to do so in the future. Having both in one company makes us a really special company and I think now we need to execute and continue to find ways to have the two work together and apart and it’s a very special day for the company and I think employees and that place where people want to come to work will be the last – my next goal would be to make it – continue to make it absolute home for where a young person coming out of school or somebody with their career says this is a company at the cross hairs of media and technology and all parts of this company make it where I want to spend my career.
Doug Mitchelson - Deutsche Bank: I think for content, we have always thought, for many years, that it’s a great business on a standalone basis. It’s created a lot of wealth over a long period of time and we think we’ll find ways to do so in the future. Having both in one company makes us a really special company and I think now we need to execute and continue to find ways to have the two work together and apart and it’s a very special day for the company and I think employees and that place where people want to come to work will be the last – my next goal would be to make it – continue to make it absolute home for where a young person coming out of school or somebody with their career says this is a company at the cross hairs of media and technology and all parts of this company make it where I want to spend my career.
Michael Angelakis: I think for content, we have always thought, for many years, that it’s a great business on a standalone basis. It’s created a lot of wealth over a long period of time and we think we’ll find ways to do so in the future. Having both in one company makes us a really special company and I think now we need to execute and continue to find ways to have the two work together and apart and it’s a very special day for the company and I think employees and that place where people want to come to work will be the last – my next goal would be to make it – continue to make it absolute home for where a young person coming out of school or somebody with their career says this is a company at the cross hairs of media and technology and all parts of this company make it where I want to spend my career.
Brian Roberts: I think for content, we have always thought, for many years, that it’s a great business on a standalone basis. It’s created a lot of wealth over a long period of time and we think we’ll find ways to do so in the future. Having both in one company makes us a really special company and I think now we need to execute and continue to find ways to have the two work together and apart and it’s a very special day for the company and I think employees and that place where people want to come to work will be the last – my next goal would be to make it – continue to make it absolute home for where a young person coming out of school or somebody with their career says this is a company at the cross hairs of media and technology and all parts of this company make it where I want to spend my career.
Operator: Your next question comes from the line of John Hodulik – UBS.
John Hodulik – UBS: First, a clarification and then a quick follow-up. On the clarification, the CapEx guide on the cable side says 10% growth in CapEx equates to about 12.9% of sales. Is it right to think that that suggests you’re going to see cable revenue growth of close to or around 6% ’13 or am I looking at that the right way? And then in terms of CapEx, you’ve got a meaningful step up here ’13 versus ’12. Is this the right level, maybe for Michael, that you’re investing in? Should we think of that from a dollar standpoint as a good level going forward or is 2013 sort of an outsized year?
Michael Angelakis: I think on your first question we’re not providing guidance. Your math is directionally correct, so let’s just leave it at that. With regards to the 2013, we are actually excited about investing in the areas that we are articulated, both on the Comcast cable side and on the NBCUniversal side. So we do look at intensity in terms of 12.4% of cable CapEx in 2012 and we articulated around 12.9% in 2013. And really the difference is we are investing in high growth, high opportunity areas in both parts of the business. So we’ve got X1, Comcast Business Services, hi-speed Engine Net, Wireless Gateways, a whole variety of areas, XFINITY Home that we think are transforming the product set that we have on the cable side. Neil’s team has done an amazing job of how we deploy that, so those are all primarily variable type costs of how we successfully deploy really new products that we’ve invested in. Now on the NBCUniversal side, as Steve mentioned, theme parks has been terrific, really have reset the bar and the majority of those dollars are going into new attractions at the theme parks which really are, again, high growth, high opportunity dollars. So we’re really – we’re not looking at multiple-year plans but for 2013 we wanted to step on the peddle in areas where we think there’s some high growth, high opportunity areas for the company.
Operator: Your next question comes from the line of Marci Ryvicker – Wells Fargo.
Marci Ryvicker – Wells Fargo: I have two questions. One, related to NBC and the transaction, can you help us with the accretion math? We’re hearing anywhere from $0.05 accretion to $0.30. So any guidance on how to think about that would be helpful. And then with regard to the programming cost guidance, can you just confirm that this is a P&L basis and not a (per sub) basis and does the incremental expense at all incorporate an assumption of positive video adds for any period of time in 2013?
Michael Angelakis: Let’s be really clear about the accretion. So on free cash flow there’s really no accretion because we’ve been consolidating 100% of NBCUniversal’s free cash flow since we’ve controlled 51%. So on free cash flow, what the impacts will be, as we just talked about, we’ll have a little bit higher CapEx, going to have a little bit higher interest expense related to the dollars that we’re borrowing to complete the transaction but we’re also going to have operating cash flow growth and we feel that we’ll be able to keep relatively stable free cash flow for 2013, which the transaction itself isn’t creating any kind of accretion. On the P&L side, we are going to see EPS accretion. So we’re going to pay a bit more in taxes because now we’ll pay 100% of the taxes related to NBCUniversal. We’re also going to eliminate the non-controlling interest which is in our P&L. And net-net that’s about a positive $550 million, which is about $0.19 to $0.20 of EPS accretion. So that’s a number that we think is immediately accretive on our P&L related to the transaction.
Operator:
Ben Swinburne - Morgan Stanley:
Neil Smit:
Operator:
Michael [Sena] - Credit Suisse:
Michael Angelakis:
Brian Roberts:
Marlene Dooner:
Operator:
Brian Kraft - Evercore Partners:
Michael Angelakis: No, the $1.4 billion really has nothing to do with the 39.4 enterprise value. That value is just separate for the business. A separate part of General Electric actually owned the real estate and we thought it was important to bring that into the transaction given what we considered to be both strategic facilities that we were fortunate enough to have both under one roof, one GE roof to be able to negotiate that. So your first question, there will be some savings on EBITDA related to rent expense that we would have at both facilities that when the transaction closed that we won’t have that. So it’s not that meaningful given the size of roughly $20 billion of operating cash flow but it certainly is going to help. And we made the decision that it was strategic to buy these facilities as well as from an economic perspective it was a smart deal. And you can look at a whole variety of real estate metrics to make that decision.
Marlene Dooner: Thank you all for joining us this morning.
Operator: There will be a replay available of today’s call started at 12:30 pm Eastern standard time. It will run through Wednesday, February 20th at midnight Eastern time. The dial-in number is 855-859-2056 and the conference ID number is 85751942. A recording of the conference call will also be available on the company’s website beginning at 12:30 pm today. This concludes today’s teleconference. Thank you for participating. You may all disconnect.